Operator: Ladies and gentlemen, good afternoon, thank you for waiting. Welcome to the Earnings Call of Eletrobras for the Results regarding the Third Quarter of 2020. We inform that all participants will only listen to the teleconference and then after we are going to start the Q&A with more instructions. Remember that this audio file and the presentation is available in PDF at the website of Eletrobras.ri.  Before proceeding any of the things that are said during the earnings call regarding different business prospects of the company projections, operational goals, financial goals are beliefs and prefers of the Board of Directors of Eletrobras as well as being based on information that is currently available to the company. Future considerations  they involve uncertainties, that's why and they might be based on things that might not happen, other operational issues might also influence the results.
Wilson Ferreira Junior: Good afternoon everyone, thank you to the investors, the analysts and everybody that is keeping up at this filing of the earnings call of the third quarter. Good afternoon. Now that we've done the disclaimer in this presentation because of the specificity of the results, it will be a little bit longer. I will try to be as objective as possible in such a way that we can answer all the questions. Well, let's go to page 4, here are the operational highlights. Here is the good news. The market of energy is recovering and we are here with a daily load that is already operating above what was 2019, we have a difference in 26% and in May this was changed 11% more and this situation shows it's an important evidence of what we are doing. When we look at this in the average ticket, monthly ticket, the same thing takes place in the bottom graph. We have the green area that was very strong this year, since the beginning of the pandemic and since then, we have been operating above and here the monthly base will be 4% above the year of 2019. So, it is a situation that shows the regaining of the economy. It's important to highlight because of the specificity of Eletrobras. On the side of PLD, we see BRL327 at the beginning of the year. A little bit before the pandemic and exactly because of that drop on the consumption and the usage, the prices on the unregulated market, that price dropped anyway to the bottom until May before we realize and now it's starting to recover. We have in September BRL100 and here in the north part, it's a volume that is very important and is actually 288. We are reporting prices per megawatt that is still lower than the average values of PLD and the effective results. Next page 5; let's see the highlights, positive points. You can see in the third quarter, the first one is the reduction of the periodic tariffs. Reduction of tariffs. We had in the last quarter talking about RBSE here we see the payment of KA and in this semester, we have BRL819 million due to that process of the hiring asset regarding the infrastructure and the transmission agreement for the new RAP and this will also have a reassurance in the transition 91 million and remove LPs and the O&M generation in the quarters. The power plants we had a readjustment in the quarter another R$123 million rise. We have a reaction in PMSO R$60 million.
Operator: Very well. We will do a Q&A session.  We’ve a few questions. The first one from . Good afternoon. I have two questions. The first question in regards to the privatization. We have a lot of news where the blackout in Amaba, if can comment. What is the impact in the privatization process? And what is the trend upper head is the first question? And the for second question is hydrology. We have a poor sedation of rains and the consequence will be that the prices will go up and a very big impact for GFF for next year?
Wilson Ferreira Junior: Thank you. Now in regards to weather, we have well the elections and everything. And this is as a result that we have in the slide that's it common here below in this page that hava a limitation here and Brasil is always developed in extremes. Now we have in the case here, we have a reservation and fortunately this is a event that is not clearly clarified. We lost both transformers in the distribution of energy, the distributor is being -- as a process of being privatized. And unfortunately, we have the negative results of the pandemic. And here, we don't have the conclusions of all the reports that are being -- the investigations we have, the due diligence we have five days leaving that force that involved  and we had our contributions of Amazonas D and here the challenge is to reestablish the system and obviously spare the  Amapa is very difficult and rare situation in Brasil. We are now talking about an event that takes place in Brasil so often, I understand that there is a dislocation because of the possible area of movement of Electromarte of that privatization. While that investment, maybe there were some phase of it and they couldn't win. A review of investment is private. So if we have regulation, when we will modernize the regulatory framework discussions in the several levels of the government that is important too effect investments and the investments will be private. And if we do not recognize that I always tell you, we improved a lot, but we don't have the financial capacity to do all the investment in regaining the market share of the company and that is happening in Brasil and throughout the world. And we have been  capital to actually five projects on the long term is that, have higher profitability than interest rate in the country. This is important for pensions. There is no changes and you are talking about privatization. I think that the administrative part of that is, as said has made available to start in regaining these projects and it is natural. Well, this is not an event that it is necessary to see what happened. So we can hold  either us or whoever it is, possible for this unfortunate event. I believe that once again that we’ve best of ministers, but our minister of mine and energy  and I am also part of the economy, we have the public -- with all the condition of  we are living, well we are going to ask it to do it generally, so it will be necessary more and more that we see that the -- is also being worked with privatization. This is why, I don't want to believe that there will be any changes and of course the plan was to do, restart this year and we have the elections. And we will have a regain of the question of Eletrobras at the beginning of the year. And we have minister  and the secretary that has done an extraordinary work with that. Well, about the range, November 11, I know, we believe that we are waiting for the rain on the 15, we wait for it in the beginning of the month. But it's on the 15th that we should get the rains again. And we believe we have still a year that we have  phenomena. And we have more rains in the North and Northeast. We are still optimist and we will finish the end of the year better than last year. This is an important point. And somehow, we have to look at the market. We have an impact and that will make the prices lower. And I still think that there is no reason for us to be worried, and we concluded several projects and all of them giving contributions to the system. I think it is early for us to worry about it. And we don't have to go -- thank you very much.
Unidentified Analyst: Very well.
Operator: Next question will be Carolina from Credit Suisse. Good afternoon. Thank you for the call. If you can talk a little bit more about the provision? You did a very good job for recycling in capital allocation, a worth event has been very significant. And this part is complicated, but it shows how many things are very well event for a strategy. I wanted to know if talking about the compulsory loan, is there anything and specifically with Amazonas, I will mention at the end of the call they were expecting maybe the resolution of ANEEL and the procurement. Is there any other option or something else that we can do to avoid that bad debt will continue to give us problems?
Wilson Ferreira Junior: Thank you Carolina for your question. I think it is important to highlight that we have two important liabilities that are being addressed with as a priority for the company. One is the compulsory loans. I believe that we have two things here. First, most of the projects and the claims are being concluded. We have had responses and sometimes we have a response, we need clarity, but here we have a small variation and where they are provisioned. 1.2 billion this quarter is because of that. Now, we have other lawyers here and we also issued here the policy of agreements and that happens for the provisions of loans so that we can anticipate into agreements that are lower than what was provisioned. A lot of companies they might be interested in closing the process and therefore giving an advantage to the paying party. And this is what we're looking right now. The compulsory loan, we will have more lawyers that will help us with agreements in the issue of the labor issues, and here we have a system of the same thing that we have for SAP. We have Artificial Intelligence and we are implementing this at the Eletrobras group. This is very important because we had  and this is being phased to systems. And also we have to do these defenses or at least a great part and this asset will be shared with the private lawyers to represent Eletrobras in these processes regionally. We expect any combination of loan and the assets that have to be once again, we need an effort and the provision that needs to be done more perfectly with our assets. This quarter we did this movement, but we need to do two things; anticipate that this might bring the benefit to the company and on the other side, we have to work in the sense of mitigating the occurrence of any similar event in these two things and this is the great work of Eletrobras and we will have an important event over the last quarters.
Operator: Thank you. Next question will be ? Hello. Thank you everyone for this opportunity. I have a question. Next year you start to think about this new RBSE, the generation of capital for next year. This is very important. Well after the strong reversal of RBSE and as you commented, it is complicated and I wanted to understand with you if there is a payment of dividends about what was practiced before in the fourth quarter of 2020, is that a possibility? And would the privatization will hinder this process? The second point, I just wanted to understand how and what was the effect of the pandemic in the contracts, we have the free market in the company? Was there a structural change in renegotiation or short-term reduction? I'm going to ask  to talk about the contracts but in this first thing where you talked about the dividends, the answer is no. And I need to highlight that we were never called so that we anticipate the dividends. And we never had that demand presented through the government. I just wanted to say one thing, along with the controllership something in around 2 billion, and we've seen in our -- to make the controllers make the type of payment in such a way that we can in the first opportunity do the payment that is regarding the FY of 2018. And this is in our favor to debate this issue and take it to the Board of Directors to do this. We don't have any perspective payment. If we have projects, we are evaluating participation in the area of transmission. This is one of the projects that we have, so we are evaluating this. You talk about capacity to be entrepreneurial and we have almost a lab, so we can really act as a company establishing committees that validate the financial framework, so we can see the return rate that clearly has to be above the capital cost. And the company regardless of the environment in the private, in the public, we don't have to pay the dividends above what was expected. It's important to highlight that we have a robust cash flow. Now the demand, it's better to do this payment, we don't have any prediction of payment above the minimum return of the company and we will only have things that are regarding the payments of dividends that are retained, so we can mitigate this. And in regards to the second theme, contract, we had a big movement right at the beginning of the pandemic and maybe  can talk a little bit about this situation. And I would just like to say that a great deal of them may have the difficulty of immediate payment and keeping as a criteria here, the students and some type of seasonality. Can you comment on that ?
Wilson Ferreira Junior: Thank you for the question. The dividends took place in April and May due to the -- we didn't know the impact of the crisis and we through the committee of commercialization we established the guidelines and we want to preserve the economic values of the contracts and the management volumes. We have very little problems with the regrowth of the demand from June, July. It was practically normalized basically we do not have any case just like last month. Thank you. Thank you for the answer. Now the subsidiaries you have a cash that is retained at these subsidiaries? The idea is to, well is there any other thing in the pipeline to optimize the capital, the size this up going up of the dividends of these subsidiaries, is there any well I know that we have the concessions, but we have the other concessions along the way. But we know that there is a potential a path for the recycling of capital of the SPEs also. Yes, we have clearly the freedom to lead, but yes, we understand that we had a lot of contracts with BMS where we have costs that are comparatively higher than we can get in the market. So this discussion occurs with our subsidiaries. It's important to highlight that the contracts we have very honest conditions. So this has to be done with a lot of care. We are not the only ones, we have compliments for financing with the countries that are the objectives of verification, so we can in fact pay and this is worth and our companies as you've said in the past that had contracts, financial contracts withholding and the case of  that can given the financial solidity, getting financing directly without having any need of assurance from the holding. So this is something that we are taking care and we've done a great work with this. Some of the things that you followed recently we also had the rollout in -- so there is still space and opportunity with our operations with the controlled companies. Thank you. Next question from . Thank you for the call. I have a question in regards to GSF, we did the calculations that would be NPV positive and I wanted to know how that would impact the results of the company and should this take place? Is there any payment of taxes or whether we have pay zero, this is the first question. The second question and we'll ask you a comment that you did and while they will participate, in this case you will get into a partnership with someone or would it be Eletrobras as the controller for the investment? I'm going to ask Elvira to talk about this, the first thing here for tax, but I'm just going to try answer the second. This is going to participate closer. We should participate alone and the issue of partnership is synergy. I cannot add value to the asset or disagree of synergy with other assets, but we are closed to have partnerships. We have preference, corporate speaking with our controllers, with our regionalized projects, so we can have the capacity to compete alone. This is the idea that we're nourishing right now. But giving the preference to the corporate investment that were recently authorized and with the exceptional shut, they have been authorized to participate. Can you talk about that? Well, in regards to the accounting, we still internally, we depend on the final solution and will this be something that we can infer and that this will be an asset that will be registered once and we have to do a technical discussion. But it's something that we do not have a definition. And in regards to GSF, we would have to do a payment. Do you think that the payment will be done once or the companies will have a chance to defer this payment? I don't know if they have a capacity to pay or not pay, so there should be other companies that have cash flow. They might have difficulties maybe there is a government plan to finance this amount. I do not believe that there will be any support from the government to do this type of financing. But yes, I believe that we will establish as it happened before a process of negotiation where we have the installments. Expensive, but using the effect of the amount that is involved, well we are fighting against a bad debt in this process and in this case we can have the  and yes, there will be some sort of payment installments. Thank you.  Next question is  Good afternoon Wilson. Thank you for the opportunity. I want to explore a little bit about the shareholders. First question well, you have a prediction of getting in December of 2020, 49 SPEs I want to understand how is your perspective up in the future that's 49 is stable and where would we have more space for the simplification of the structure? Now, I have to talk about this, we have SPEs of any type even international participation etcetera and we made a decision that is strategic what was the strategic decision that we had SPEs where we can increase our participation. I think we hold the SPEs, sometimes the partners stopped and they followed. So we did that sequence and what we wanted to do okay and this can be a company that can be accounted for. We wanted to incorporate a company buying 100% and incorporating it as a corporate asset and there is an advantage. SPEs have a management, Board of Directors and actually what makes SPE work is the operations that are local. What we did here, I think it was 13 and if memory serves me right, and we have this process here these are processes for incorporation. Then we had an evaluation here of the cost of the partner. We did the negotiation and actually we made the negotiation viable and we will finish with 14 SPEs, these were created and not made viable in the last year. A great deal of them related to wind power, which are the contracts remember the provider that went bankrupt and then we had the difficulty in the construction. In this case we got into that bid of not hiring and then we eliminated the risk. The next step is closing that's why you have the second. And also we did a strategic analysis where we wanted to remind you that this sales process was preceded by a recognition of our debt after that of the controller, the control company in such a way to check, to reduce this so we can do a process that is systematic. And we can attract more competitors and we have the complete competitive process and the only thing that we didn't sell is this one. Now these assets have been chosen because they are assets that they had conditions that were important for the debt of the controller and the holding and these are assets that we would have the same activity as the control. One criteria that you need to know is, we weren't working with hydroelectric power assets. What we have today is the GSF, which is the condition of those companies. They followed many that time and they were not successful and a great deal of that is due to the social GSF. Now, we have to think about this in an important way from now on the companies have a perceived value by the market different than what they've received before. So you have the critical assurance and there is a set of activities that are here placed. The objective was to simplify with the focus in the asset of generation transmission in these 49 and create deal where the hydroelectric power plants. We have Delamonte and with that 49 we have a focus here. A great deal of them will be integrated with the corporate asset and we have the private partners with this account, this operation. And then we can work for the consolidation of the assets. There is no defined plan. I just wanted to show you that in fact, we implemented a plan for the reduction of the number of SPEs, which contributed for the reduction of the debt on the controller with the company and a very strong work and I even joke around that this is the substation of the Olympics. I can see the difficulty that I was concluding this process. So we need to proceed here and we've done that and we will be happy to finish the year with 81, 100 less than what we have with an improvement of the results of the 14, the values of the SPEs, we can revert it we have several here. We have 40 last year. 30 this year and we will try and find out an asset that makes more sense because of the size of Eletrobras. This is the idea in this process of rationalization. In regards to Amazonas distribution, obviously the problem of Amazonas distribution affects us because the supplier of energy has contracts that's not necessarily, they are not contracts that service the road of the distributor. So this has been adopted of one norm not only one and the debate on the ministry of energy with the participation of Amazonas entity and Amazonas energy and ANEEL. I am very optimistic that we will have a solution for this in the next 60 days. We will have a better expectation in the processors that are here, we will have one director that will answer and we will focus in our challenge and also the sector. And I believe that this will happen and that's to say we have operation authorization and this mitigates a little bit of the problem and then it gets a great deal of the problem for the cash. We can do it via Amazonas distribution and we have less risk of non-payment. Thank you. 
Operator: We close here the Q&A session and now we gave the floor to Wilson Ferreira Junior for the final thoughts. Mr. Wilson. 
Wilson Ferreira Junior: First of all, thank you for your attention. Once again, it is difficult as a President to do a report. We believe that we could have done much better. Counterpart is that we make equality more robust and this implies in the improvement of our processes and our controls. Evidently, we were affected by the pandemic are one and true, but I'm very trustworthy in the recovery of the economy and the processes that we are developing in the company to train and evolve in our commercialization. We have and thereafter the meeting that we are doing with all of the directors of the company was the cultural transformation and well, having this digital time of the pandemic, so we can have a network that is more modern, more contemporaneous, more collaborative, more synergistic, more sustainable. We're working towards this and I believe that we advance and we will advance even more. With the standardization of our organizational structures, I do not see yet the perspective for the reduction of costs we are making an effort. Sometimes we have an expectation of a lower impact in the pandemic, but we have an equipment that has a stoppage and that investment as a whole. So we had a quarter that unfortunately we had a lot of events that are extraordinary and events that were predicted. But I am very optimistic in regards to Eletrobras it's a company that is recovering and will in fact know the perspective still limited by the financial capacity is to restart the perspective of investments. I hope that this was the worst quarter that I will have to report in the last four years. I am very optimistic that we will restart with the perspective that we had over the last few years. Thank you and now you're healthy. Thank you.
Operator: Therefore the audio conference of Eletrobras is complete.